Operator: Good afternoon, ladies and gentlemen, and welcome to the Markforged Third Quarter 2022 Earnings Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Austin Bohlig, Director of Investor Relations. Please go ahead.
Austin Bohlig: Good afternoon. I'm Austin Bohlig, Director of Investor Relations of Markforged Holding Corporation. Welcome to our third quarter fiscal year 2022 results conference call. We will be discussing the results announced in our earnings press release issued after market close today. With me on the call is our President and CEO, Shai Terem and our CFO, Mark Schwartz. Before we get started, I'd like to remind everyone that management will be making statements during this call that include estimates and other forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical fact should be deemed to be forward-looking statements. These statements represent management's views as of today, November 9, 2022 and are subject to material risks and uncertainties that could cause actual results to differ materially. Markforged disclaims any intention or obligation, except as required by law, to update or revise forward-looking statements. Also, during the course of today's call, we'll refer to certain non-GAAP financial measures. There's a reconciliation schedule showing the GAAP versus non-GAAP results currently available in our press release issued after market close today, which can also be found on our website, at investors.markforged.com. I'll now turn the call over to Shai Terem, President and CEO of Markforged.
Shai Terem: Thank you, Austin, and thank you everyone for joining us on our Q3 2022 earnings call. Despite the challenging operating environment, demand for the Digital Forge continued to grow globally in the third quarter, and our strong cost control allowed us to see sequential operating leverage and deliver on our EPS target. It is exciting to see more and more customers unleashing the power of the Digital Forge to design new product, to manufacture new products, and to embed Digital Forge parts in the final product itself.  I see examples all over the world and in key industries such as drones, in aerospace, electric motorcycles, in automotive, and even in medical equipment. However, while we met our EPS target, we did not deliver on our revenue and gross margin targets for the quarter. In the Americas and EMEA, inflation and geopolitical pressures impacted our mature line of business. And globally as supply chain challenges continued, we were not able to meet the growing demand for the FX20 and its cost target. But thanks to our team and growing market opportunity we exited the quarter with one of the largest pipelines of opportunities in the history of our company. The long-term fundamentals of our business remain intact and continue to gain momentum as an increasing number of manufacturers in the Western world onshore more of their supply chain. We couldn't be more excited about our vision to make manufacturing more resilient by using the Digital Forge to bring industrial production to the point of need. As we had anticipated, the FX20, our newest production grade printer, is generating unprecedented excitement as manufacturers seek solutions to make their supply chains more resilient and flexible.  The FX20 is solving mission critical applications, such as printing aerospace-grade materials, reinforced with continuous carbon fiber and printing replacement parts for automotive assembly line robotic arms. In Q3, demand for the FX20 met expectations. We shipped every unit we built and still ended the quarter with a backlog of orders. Procurement of material and production constraints, both contributed to building this backlog. We continue to work relentlessly to mature the FX20 production and are planning to reach commercial run rate that will enable us to fulfill orders as we receive them in early 2023. The APAC region was a highlight for us in the third quarter, meeting our expectation for significant growth in the second half of 2022. APAC currently appears to be experiencing a more modest impact from macroeconomic uncertainties. For the third quarter, revenue in APAC grew 82% year-over-year and 39% quarter-over-quarter, led by strong demand for our mature products and accelerated demand for the FX20. EMEA and Americas were not immune to current global challenges, including the war in Ukraine, inflation and currency pressures.  Due to the broader impact of macro conditions on our business and our intention to reach breakeven by the end of 2024, we recently reorganized our go-to-market team and reprioritized initiatives that we believe have the potential for the greatest impact on our path to profitable growth.  With the completion of the Digital Metal acquisition in August, we are excited about our expanded opportunity in high volume metal production. The addition of this metal binder jetting technology helps us expand our addressable market into the mass production of end-use metal parts. As I meet customers like nRoot [ph], who uses Digital Metal to produce parts for automotive customers, which are used in vehicles such as the Cadillac Blackwing V-Series, they rave about the same things that led us to doing this deal, best-in-class parts quality, coupled with top-notch reliability.  In the field I hear every day from potential new customers, especially those in the medical, automotive and luxury goods industry who want to begin using our Digital Metal solution. I also want to share a very exciting example of how the Digital Forge is pushing the boundaries of human innovation. Our customer's, Ciberspace [ph], based on Cape Canaveral, is building a network of 100 small satellites loaded with sensors to provide real-time global insights for transportation, weather, finance, and other critical industries. They're printing almost their entire satellite parts with a Digital Forge.  By using our X7printer and onyx with carbon fiber reinforcement, Ciberspace is producing radiation hardened satellites that are stronger than aluminum but up to 40% lighter, saving money on each launch by optimizing weight. This is a great example of how our solution can bring rapid industrial production in-house right at the point of need. This is a difficult time for global manufacturers. Supply chain disruption, coupled with cloudy macro forecasts continue to put pressure on core inputs, such as energy and raw materials. While these pressures make capital investment decisions complicated, these very same pressures are driving the manufacturers to think differently and bring production back on shore. With Digital Forge, I believe we have exactly the solution, and our pipeline demonstrates this. Supported by our strong balance sheet, we continue to execute on our strategy towards profitable growth and feel very confident in our business fundamentals. With that, I now turn the call over to Mark Schwartz, our CFO, who will offer more details on our financial performance and guidance for the remainder of the year.
Mark Schwartz: Thanks, Shai. I will now review our financial results for the third quarter ended September 30, 2022, as well as review our fourth quarter and full year outlook for 2022. Please note that my comments reflect our non-GAAP results and outlook. For your reference, our earnings press release, issued earlier this afternoon and posted to our Investor Relations website, includes our GAAP to non-GAAP reconciliation to assist with my commentary. Revenue increased 5% for the third quarter of 2022 to $25.2 million, compared with revenue of $24 million for the third quarter of 2021. Despite our best efforts, we were unable to secure sufficient electrical and mechanical components to complete production of FX20 units and meet the growing demand. These production challenges slowed our ramp to volume production, and as a result, we were unable to meet our revenue target for the quarter. Gross profit for the third quarter was $12.4 million, compared to $13.8 million for the third quarter of 2021. As a result, we generated a gross profit margin of 49.1% compared to 57.6% in the third quarter of 2021. The current cost of producing an FX20 versus our target at steady state production, negatively impacted our gross profit by $1.1 million in Q3, or over four gross margin percentage points. We expect FX20 production costs to continue at current levels through the first half of 2023 and then improve steadily through the balance of 2023 and into 2024. Operating expenses for the quarter were $28.5 million, compared to $25.5 million for the third quarter in 2021, and declined sequentially from $30 million in the second quarter of 2022. For the third quarter of 2022 our net loss was $15.2 million, or a loss of $0.08 per share. As a percentage of revenues, our net loss improved in comparison to the second quarter of 2022, a focus for us as we managed toward profitable growth.  Finally, we exited the third quarter with a cash balance of $181.8 million, on plan and well-positioned to execute on our long-term goals. Now onto guidance. We are updating our 2022 financial guidance to reflect our updated fiscal year outlook, which considers the current market conditions. We anticipate revenues for the fourth quarter to be in the range of $28 million to $32 million, which at the midpoint would result in 2022 full year revenue near the lower end of the range we previously provided. We expect gross margin in the fourth quarter to be in the range of 48% to 50%, which would equate to full year 2022 gross margin within the range of 50% to 52%. We anticipate our operating loss for the fourth quarter to be in the range of $13.2 million to $14.7 million, which would equate to full year 2022 operating loss in the range of $61 million to $62.5 million for the year. Our operating loss improved sequentially from Q2 2022 to Q3 2022 and we anticipate a further improvement in Q4. EPS results for the fourth quarter are expected to be a loss in the range of $0.06 to $0.07 per share, which would equate to EPS results for the full year to be a loss in the range of $0.31 to $0.32 per share. Our long-term goal of 30% annual revenue growth was met with macroeconomic headwinds in 2022. We expect these headwinds to continue into 2023, but our long-term goal has not changed. And we believe our ambition is achievable given the strength of our innovation roadmap, product portfolio, and disciplined expense controls. That concludes our prepared remarks for today. Operator, please open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Troy Jensen with Lake Street Capital. Please go ahead.
Troy Jensen: Hey, gentlemen, thanks for taking my question. Sorry, I jumped on late here. So I apologize if I'm asking something that was addressed. But could you just give me an update here on FX20, and maybe shipments or thoughts on when we get a real more material contribution from that big high end platform?
Mark Schwartz: Yes, Troy, happy to take that, and thanks for joining us. Shai may add in some color here. So FX20, what we've been saying this year is as we began to ship we would reach commercial run rate in production by the end of this year. That's now getting pushed out a quarter maybe a little bit longer. And the reasons for that are ramping up our contract manufacturer and particularly on the supply chain side.
Troy Jensen: Okay. Right.
Shai Terem: On the demand side, Troy, we shared it on the comments, but on the demand side, it's very, very strong, continue to build up. We don't see any slowdown there. On the other way, it's getting stronger and bigger, and customers love it. We've more customers, multiple industries, so the FX20 on the demand side continues to grow.
Troy Jensen: So again the backlog for the product is just kind of ramping production up to get to substantive reach [ph] right?
Shai Terem: Exactly. It's all about getting the parts. It's just very tough supply chain environment.
Mark Schwartz: Yes, Troy, you've heard us harp this before, and you understand, I think, this component of our business. We typically build to order and then -- sorry we build to forecast and then ship it on order. So if you were to purchase an X7 today, we'd ship it to you tomorrow. That's part of how we've chosen to run our business model. With the FX20, we're not there yet. We left revenue dollars on the table last quarter because we couldn't get our production up to speed.
Troy Jensen: Right. I completely understand. You're not the only ones. So then how about a quick one on Digital Metal? I guess I've done some of my own kind of work on the product. It sounds like the technology is awesome. Just curious on also kind of timeline, portfolio integration, when do you think your sales force is trained to kind of sell it, and also when do you expect to get more of a ramp in revenue contribution from that product?
Shai Terem: That's a great question. And we are very excited around Digital Metal. So we completed the transaction only in August 31, so we had one month officially with it. I was fortunate enough to go to see some customers and prospects. There's a real demand building up, very exciting to see it in some industries that we did not play before, like medical, luxury goods and others, and it's even more interesting to see when automotive, when it's really been adopted to parts printed into the car.  So very, very exciting. I think it's the first quarter that we're going to have Digital Metal, so probably not material impact this year but we do expect to ramp it up next year. We continue to progress with it. The way that we're working with it is probably a little bit different than our day-to-day business with our channel partners. It's a more direct approach here, but we're definitely leveraging the global coverage that we have to get to the right customers.
Troy Jensen: Perfect. Okay. Thanks for taking my questions, and good luck in Germany next week.
Mark Schwartz: Thanks, Troy.
Operator: And our next question is from the line of Greg Palm with Craig-Hallum Capital Group. Please go ahead.
Greg Palm: Yes, thanks for taking the questions. I guess I wanted to follow-up on some of the macro and market commentary. I guess I'm a bit confused still because you're talking about pressures but you're also talking about basically robust and growing demand for FX20. So is the pressure outside of the FX20? And just to confirm the FX20 has not been impacted at all by lengthening sales cycles, purchasing decisions, and whatnot?
Mark Schwartz: I'll take the first half, Greg, and thanks for your questions. So it's actually difficult for us to say whether there's been an impact to the FX20 or not. It would sort of stand to reason that the FX20, like every other product, is being impacted by lengthening sales cycles but it's such a new product for us and has such an excitement around it, we're not seeing that and there's no way for us to quantify that. The excitement could be even greater, and the demand could be even greater. What we're seeing is a growing pipeline, one of the biggest pipelines we've ever had in the history of the company, and the time it's taking to close on that pipeline is lengthening. So demand is great, but we are certainly feeling the impact from the current macroeconomic uncertainties.
Greg Palm: Okay, that makes sense. In terms of the reorganization of the go-to-market, can you just expand upon a little bit what you're doing and just some of the potential cost savings behind that?
Mark Schwartz: Shai, do you want to take that?
Shai Terem: Sure. So I would say that we adjustment a little bit the cost side to the growth we're seeing in the near term with the macro challenges. We try to make sure that we have our go-to-market as efficient as possible. It has impact and you will see the operation leverage improving even in this quarter and the one after, but we think it's the right and prudent thing to do as we currently adjust to what we can.
Greg Palm: Somewhat related to that, but the path to breakeven exiting 2024, I'm just curious if there's a level of revenue that's associated with that, or if there's additional levers that can be pulled internally that helps you achieve that goal.
Mark Schwartz: We have some internal targets that we're hashing around, but you can imagine with the current environment, it's difficult for us to pinpoint that. We're certainly not going to make those numbers public today, as we think through it. Having said that, we are prepared to make whatever adjustments we need to make in our business in order to achieve that goal, and we'll let you know if that ever becomes something otherwise.
Greg Palm: Okay, but I guess it sounds like even under a very different macro environment now relative to let's say a year ago, there's still a lot of levers that can be pulled that help you achieve that goal.
Mark Schwartz: That is correct. On the revenue side, there's lots of excitement. And between software and our core hardware, and hardware from Digital Metal that will be commercialized next year, we have every reason to continue to be excited about '23 and '24.
Greg Palm: Okay, good. I'll hop back in queue. Good luck. Thanks.
Mark Schwartz: Thanks, Greg.
Operator: [Operator Instructions] And our next question is from the line of Jim Suva with Citigroup. Please go ahead.
Jim Suva: Thank you. When we think about the challenges of securing components for the FX20, which is not unique to your company or the product, I was just curious, has it worsened in the past month or two, or alleviated a little bit? The reason why I ask is there are certain parts of technology that are actually hitting oversupply, like PCs and other things. I'm wondering if that's starting to help alleviate some of the pressures or constraints of securing your components.
Mark Schwartz: Not that we're seeing entirely, Jim. Like building really any piece of hardware, one item that is unavailable or on a limited supply impacts your ability to produce any full item. So the challenges change day-to-day or week-to-week, but I wouldn't say that it's improving. There's always something that is moving to the top of the priority list in order to find parts to be able to build the machines.
Jim Suva: Okay. And then as a follow-up, your supply chain, are they telling you that maybe mid-next year it gets into a much better equilibrium state, or do you have to like proactively start to say, hey, if we don't have the visibility, maybe it's worth putting in proactive a lot more orders? Or maybe you have already done so?
Mark Schwartz: Yes, it's a combination of those things. The supply chain, our vendors, our partners are certainly not telling us today that they're seeing an end to this in sight. We hope that sometime next year it does begin to improve. We've sort of said all along this year, as you may recall, that we thought that these supply chain issues were going to challenge us the entire year and hoped we were wrong, but it does appear that that is the case. At this point, it does appear it's going to leak into next year.
Jim Suva: Okay. And then in your press release, I believe you made the statement about profitability in 2024, just curious, is that like exiting or run rate or full year? And is it contingent upon the supply chain situation being completely resolved or just kind of curious because that's a good goal and I think investors will like to hear any assumptions that are based upon that to make sure we are calibrated correctly.
Mark Schwartz: Yes, we're certainly not today indicating that it would be for the full year. We think by the end of 2024, we will reach that point. There's lots of levers that need to be pulled, Jim, as you can imagine from the supply side as well as our new product introduction and continuing to generate demand with our sales and marketing teams. So lots of things that need to happen. We feel great about those that are in our control. The supply chain is one that isn't and it's something that we continue to monitor, as you can imagine.
Jim Suva: Thank you.
Operator: And our next question comes from the line of Kieran McCabe with Stifel. Please go ahead.
Kieran McCabe: Hey, yes, thank you for taking my question. Outside the FX20 kind of the base business, wonder if you could provide any kind of color on your key verticals, where you're seeing exceptional strength or softness or just kind of a general color on your key verticals and what kind of trends you're seeing in that sort of base business outside FX20?
Shai Terem: Thank you. I think it continues to be on the same industries as we covered before. I think aerospace, very, very strong for us. Automotive and industrial application, we are going deeper and deeper into the manufacturing floor with G12 [ph] features to help build products. What I see more and more recently is customers that are using our solution not just for tools to build their product, but also for parts that go into the product itself. I was fortunate enough to be in Australia two weeks ago, and only there I saw electric motorcycles that have printed parts with Markforged. I saw drones used by the military that have parts with Markforged. And I saw machines, medical equipment to do rapid testing for COVID-19 that has Markforged parts in them. So we see more and more adoption in these key industries into the final product itself as well.
Kieran McCabe: Okay. Thank you very much.
Mark Schwartz: Kieran, I think it's also important -- yes, sorry to interrupt. I wanted to add a little color there for you. I think it's also important to highlight, and I think we've mentioned this on a previous call, we're seeing first time buys from large multinational organizations that have never bought anything from us before. And their first buy from Markforged being an FX20. We think it's a powerful statement about the excitement that this product is generating in the industry.
Kieran McCabe: Great. Thank you.
Operator: Our next question comes from the line of Shannon Cross from Credit Suisse. Please go ahead.
Shannon Cross: Thank you very much. I was wondering about usage on the devices and what you're seeing in terms of, I realize customers are taking longer to purchase printers, but just in general, have you seen a big pullback? Or have there been changes in maybe what they're printing. I don't know, I'm just trying to understand sort of the magnitude of what's going on in the industry, because clearly there's some significant pressure and how it might be alleviated over time. Thank you.
Shai Terem: Thank you. We don't see a decrease yet. I would say what we call active printers will continue to grow quarter-over-quarter, especially year-over-year. So I would say year-to-date, we don't see any decline. The customers that have our solution continue to use it and try to get the best out of it, I can tell you that where we are proving the ROI for the customers, usually have the interest to print as much as possible, because it's saving them a lot of money. Sometimes they follow up with, okay, I'll do it in the next cycle, the one after, because when they see that it's working, it's a great cost savings for them. It's a good driver to build resiliency into their own supply chain, which we're all suffering from.
Shannon Cross: And you obviously don't have an issue with cash, which is a positive, definitely. But I guess, when you think about -- and I know you talked a bit on the cost side, but when you think about cash flow and uses, how are you sort of approaching, obviously you're careful with your balance sheet. But I'm just curious, how things have changed maybe in the last three months, in terms of your willingness to fund new areas or thoughts on the best usage of your cash. Thank you.
Mark Schwartz: Yes, thanks, Shannon. I would say -- look I think you've sort of mentioned it. We have what we believe to be strong cost controls across our business. We certainly remain focused on our innovation efforts, but outside of our innovation, and our sales and marketing, we are paying very close attention in particular to the balance of our operating expenses. I think that's enabled us to achieve the result we did in this past quarter, hitting our EPS target, even though we had a miss at the top line and on the gross margin.  So that continues to be a focus. Anecdotally, folks sitting in my chair are making in my view the same types of decisions that I'm making, which is pushing out certain spend where we don't necessarily need to have the urgency or to make that spend in the current quarter or the next period. There's a little bit of a vicious cycle that gets created by that, I recognize, but certainly, it's something that we're doing, asking questions about spend and if it can be pushed out, and we imagine others in the industry are doing the same.
Shannon Cross: Yes, thank you very much.
Mark Schwartz: Thank you.
Operator: And our next question is from the line of Brian Drab from William Blair. Please go ahead.
Brian Drab: There we go. So you guys are using the only conference call service that uses one, four to get into the question queue instead of star, one. Took me a while to figure that out. So one of my questions is, just I know that you've said several times you couldn't meet the demand for the FX20 and there's a lot of demand. This kind of goes back to Greg's question as well, but I'm just trying to determine how the underlying demand for the non-FX20 equipment is, and I guess one direct question is did you ship to customers any FX20s in the third quarter? I don't know that that's been clear yet.
Mark Schwartz: Yes, I'll take that part of the question, Brian. Thank you for asking the question. Yes, we did ship FX20s in the third quarter. We shipped in the first quarter, the second quarter, and we've shipped in the third quarter. We are not at what we believe to be our commercial run rate. That will eliminate backlog, but we believe that's coming over the next couple of quarters.
Brian Drab: Okay. Great. Then is it safe to say that for the non-FX20s, given you're seeing that ramp, you're shipping FX20s this year, you didn't last year, equipment or hardware revenues is flat year-over-year. When you talk about the macro pressure, the FX20 is helping offset the macro pressure but with the macro pressure showing up much more in the non FX20 hardware. Is that how I interpret it?
Mark Schwartz: It is, and the way the question was asked, I think by Greg, it's really difficult for us to determine if the FX20 is impacted by the uncertainties as well because we hadn't sold it before. It's very possible that --
Brian Drab: No, I understand that.
Mark Schwartz: That the demand would be even higher but it's difficult for us to say that. Absolutely, it's impacting our core business outside of the FX20, and particularly in the Americas and EMEA.
Brian Drab: Okay, and then just the last question, and it's along the same lines. Consumables growth was 14% year-over-year, which is still pretty healthy and a sign that the utilization of the equipment is still pretty healthy. As you went into the fourth quarter, are you seeing any change in the utilization of the equipment in the field? How do you expect that to play out going forward in the near term? Thanks.
Shai Terem: Yes, I don't think we'll see a change. We continue to see increase in the active printers and in the usage, and since we continue to grow the install base, we believe we're going to see a growth in the utilization and the material consumption, and especially with the FX20. So if it wasn't clear so far, we shipped every quarter FX20s, each quarter we are shipping more FX20s than the quarter before, and the utilization of this system, when it's going to get to normalization, which usually takes a year about on every printer, supposed to be much higher than any other printer that we had before because it's a bigger, faster reproduction system. So we still believe that we're going to see a significant increase in the recurring revenue in the next few quarters.
Brian Drab: Yes, perfect. Okay. Thank you very much.
Brian Drab: Thanks, Brian.
Shai Terem: Thank you.
Operator: And we have no further questions in the Q&A queue. I will now turn the call over to Shai Terem for closing remarks.
Shai Terem: Thank you very much everyone for joining us and we'll see you next quarter.
Operator: That does conclude your conference call for today. We thank you for your participation and ask that you please disconnect your lines.